Operator: Good day, and welcome to the ACE Limited Fourth Quarter Year End 2014 Earnings Conference Call. [Operator Instructions] As a reminder, today’s call is being recorded. For opening remarks and introductions, I would like to turn the call over to Helen Wilson, Investor Relations. Please go ahead, ma’am.
Helen Wilson: Thank you, and welcome to the ACE Limited December 31, 2014 year end earnings conference call. Our report today will contain forward-looking statements, including statements relating to company and investment portfolio performance, pricing, economic and insurance market conditions and acquisitions including one that has not yet closed, all of which are subject to risks and uncertainties. Actual results may differ materially. Please refer to our most recent SEC filings as well as our earnings press release and financial supplements which are available on our website, for more information on factors that could affect these matters. This call is being webcast live and the webcast replay will be available for one month. All remarks made during the call are current at the time of the call and will not be updated to reflect subsequent material developments. Now, I would like to introduce our speakers. First, we have Evan Greenberg, Chairman and Chief Executive Officer, followed by Phil Bancroft, our Chief Financial Officer. Then we will take your questions. Also with us to assist with your questions are several members of our management team. Now, it’s my pleasure to turn the call over to Evan.
Evan Greenberg: Good morning. ACE had excellent operating results for the quarter. All divisions of the company made a positive contribution to both quarterly and annual operating results, which were driven by growth in both underwriting and investment income. For the year, we produced record operating income, world-class combined ratios, strong premium revenue growth and reasonable book value growth considering foreign exchange. And lastly, we produced an excellent ROE. We also made many investments in our company that will contribute to our results in the future. After-tax operating income for the quarter was $827 million or $2.47 per share. For year, net operating income was over $3.3 billion or $9.79 per share, up 4.7% from 2013 and again a record for our company. Our P&C combined ratio was excellent, 88.5% for the quarter and 87.7% for the year with underwriting income increasing over 7% for the quarter and year. These calendar year underwriting results benefited from very strong current accident year performance. Current accident year underwriting income, excluding cats, was up 23% for the quarter and 13% for the year. The current accident year results were a reflection of our premium revenue growth globally and margin improvement around the world in many of our businesses as a result of pricing action, portfolio management efforts, product mix and expense control. To breakdown our current accident year underwriting results further, the combined ratio for global P&C, which as you know excludes agriculture, was 89.4% for the year and for agriculture was 87.8% for the year. The quarter’s results for agriculture – the fourth quarter’s results for agriculture, included a loss ratio true-up for our crop business for the year, which improved over our third quarter projections due to improved crop prices and yields. Net investment income was a record $577 million in the quarter. For the year, we benefited from strong operating cash flow and produced net investment income of $2.25 billion, up over 5%, quite a good result given the historic low interest rates. So, we will have more to say about the quarter and the year. ACE’s strong earnings led to excellent operating ROEs of about 12% for both the quarter and year, with surplus capital scrubbing almost 200 basis points of the ROE. At approximately 1,000 basis points over the risk-free rate, our ROE is an excellent return for shareholders in this rate environment. And as we have said before keep in mind that every 100 basis points of investment portfolio yield for ACE is equal to approximately 200 basis points of ROE. Interest rates will not remain this low indefinitely. ACE is a truly global dollar-based multinational insurer. And as such our premium revenue and book value growth in the quarter were impacted by the strong dollar. Per share book value grew 6.1% for the year, but declined modestly in the quarter due to FX. Excluding foreign exchange, book value per share grew 8.8% for the year. Our shareholders have and will over any reasonable period of time continue to benefit from our global presence and diversification and our ability to take advantage of opportunity all over the world. There has been a remarkably rapid investor flight to the dollar in search of safety as a result of several factors including the decline in the price of oil, from an increase in supply and reduced demand, declining economic growth in major economies of the world including China, Japan and the Eurozone which is in crisis. And the follow-on impact in natural resource-based economies in Latin America, Asia and Africa, not to mention geopolitical tensions particularly in the Middle East, spreading terrorism in Russia, Ukraine. The U.S. right now is the preferred destination for many investors seeking safety. We are the prettiest house in a pretty shabby neighborhood. Over time I imagine the dollar’s strength against many currencies will go the other way. Keep in mind, ACE’s book value $30 billion at December 31, has increased 22% in the last 3 years, 50% in the last 5 years and it has tripled in the last 10 years. For the year P&C net premiums increased about 6% in constant dollars or nearly 7% excluding agriculture. Growth was broad-based from all regions illustrating how we have successfully built a diversified business by product, geography, customer and distribution so that we can outperform in spite of the conditions around us. Let me breakdown the P&C growth by area, commercial P&C, A&H and personal lines. For the year, our commercial P&C businesses generated growth of over 5% globally with contributions from most every region. U.S. retail and wholesale grew 5.5% and 10.5% respectively. Internationally for retail Latin America led the way with commercial P&C net premium growth of 17% in constant dollars, followed by growth of 10.5% in Asia, while Europe declined about 1.5%. Growth in our London-based DNS business which saw more competition during the year was flat. Net premiums for our agriculture businesses were down about 2.5% for the year, in line with our expectations. The decline due to lower crop commodity prices versus prior year had no impact on our overall market share which basically remains steady at about 22%. For the year, our A&H insurance business grew 4.5% globally in constant dollars with international up over 7.5%, led by Asia with growth of 22% and Latin America with growth of 11%, while Europe declined 8% due to the economy and underwriting actions taken. Premiums for combined insurance business were down 1.3%, but modestly – but up modestly in the fourth quarter led by our core North American franchise which grew 2%, its best performance in several years and a sign that this business is turning the corner. Net premiums written for personal lines were up 25% in constant dollars or 13% excluding the contributions from our Mexican and Thai acquisitions. We are generating good organic growth for this $2 billion business which has tripled in size in the last 5 years and is now approaching 13% of the company’s net premiums. Our personal lines business is a strategic growth area and poised to continue its growth globally. To that effect as you saw last month, we signed a definitive agreement to acquire the U.S. high net worth personal lines business of Fireman’s Fund for $365 million. The addition of the funds business, which will be integrated into ACE Private Risk Services, will expand ACE’s position as one of the largest high net worth personal lines insurers in the U.S. The fund has a good mix of business with about 80% of the book homeowners, collections and valuables, and umbrella liability. In fact, the fund’s statutory filings don’t readily upon reading them reflect the profitability of the business as they omit from the personal lines category, lines such as collections and umbrella. In total, the loss ratio of the business is good. The expense ratio, that’s been a problem and that will run much lower under ACE given our technology, operational processes and combined scale. We expect the acquisition to be accretive to our earnings immediately. We also expect a good ROI and ROE over a reasonable short period. We anticipate the acquisition will close in the second quarter. We are proud and excited that most Fireman’s Fund colleagues will be joining ACE. Returning to our production results for the year, our international life insurance business, which is focused primarily in Asia, had an excellent year with net premiums and deposit growth of 18.5% in constant dollars. Lastly, our global reinsurance business had a very good year with a combined ratio of 72.3%. Net premiums declined almost 6% as we maintained underwriting discipline in a market awash in capital. As we have said in the past and continually demonstrated, we are fully prepared to shed volume in any business as necessary in order to maintain an underwriting profit. And as a reminder, as a substantial buyer of reinsurance, we continue to benefit from the current reinsurance market in terms of pricing and improved terms. I want to now say a few words about current commercial P&C insurance market conditions. Pricing environment grew modestly more competitive in the quarter for our commercial P&C business in the U.S. We continued to secure rate in many general and specialty casualty related classes, but at a modestly reduced pace from the third quarter. On the other hand, property rates continued to decline at about the same pace we experienced in the third quarter. Taking our U.S. commercial P&C business by its pieces and starting with our large and upper middle market retail business, general and specialty casualty related pricing was up 1% in the quarter compared to a 1.7% increase year-to-date with pricing varying by line. For example, large account risk management related casualty pricing was up 2.3% versus 3.2% for the year. Management and professional liability pricing was up about 1.25% in the quarter compared to 1.8% for the year. Pricing for excess casualty was up 2% for the quarter versus 3.5% for the year, while foreign casualty pricing was down 2.4% versus a 1.2% decline for the year. Property-related pricing continued to decrease at a steady pace, down about 7% for the quarter and year. For our U.S. retail business, the renewal retention rate as measured by premium was 92% in the quarter. Turning to our U.S. E&S business, casualty rates were up 2.6% in the quarter versus 4.6% for the year. Professional lines rates were up about 4.5% in the quarter versus 4.1% for the year, while property was down about 7.5% versus 6% for the year. Internationally, the retail commercial P&C rate environment improved marginally with rates down 3% in the quarter versus 4% prior quarter. For the year, rates declined 2%. Asia was the most competitive region with rates down 6% in the quarter, whereas pricing in Latin America declined 2% and the UK and the continent are rather stable with rates down 1%. For international in total, casualty rates in the quarter were down 1%, property was down 4%, financial lines rates were flat. Looking ahead for January 1 business and what we see now, pricing was essentially the same as the fourth quarter globally. John Keogh and John Lupica can provide further color on market conditions and pricing trends. In summary, ACE had an excellent year. In addition to producing record financial results, we made numerous investments for future growth in earnings. For example, we launched retail distribution to complement our existing wholesale capabilities for our U.S. middle-market specialty and E&S business. We started a new micro business division to serve very small U.S. commercial businesses. We made three acquisitions and closed two of them in Thailand and Brazil further expanding our presence and capabilities in promising developing markets. And of course, as I mentioned, we signed a deal in the fourth quarter to acquire the Fireman’s Fund high net worth personal lines business. These are the seeds of future growth for our company. Just as you are seeing today, the fruits of investments we made over the past 10 years. Finally, allow me to address point blank, a misconception about our company and our industry that I have read of late in some analyst commentary. There are some who seem to believe insurance is boring that we are nothing more than a common utility. Well nothing could be further from the truth. We are a vibrant, entrepreneurial, growth-related company that participates deeply in the diverse and complex economic and social activities of the world to truly know us as to understand the true dynamism of this organization and the unlimited opportunities that lie ahead for us over time. With that, I will turn the call over to Phil and then we will be back to take your questions.
Phil Bancroft: Thank you, Evan. A record operating earnings for the year contributed to growth in our tangible book value per share of 5.3%. Book value was negatively impacted by foreign exchange valuation losses of $600 million for the quarter and $750 million for the year. These losses relate to our net asset exposure to foreign currencies. They represent a point in time mark-to-market valuation adjustment and do not affect the capital position of our foreign operating units. We match our assets and liabilities in each jurisdictions and we keep our required capital in local currencies. Excluding unfavorable foreign currency movements, tangible book value per share increased 8.6% for the year. Goodwill and intangibles relating to the two acquisitions we made in the year had an additional negative impact on tangible book value per share of 2.7 percentage points. Excluding the impact of both foreign exchange and the acquisitions, tangible book value per share increased 11.3% for the year. Our tax rate on net income for the quarter was 29.5%. This is higher than our normal run-rate and was impacted by deferred tax charge included in the $600 million foreign exchange loss. This item added 14.6 points to the tax rate. We had very strong cash flow of $1.3 billion for the quarter and $4.5 billion for the year that benefited our investment income and contributed to growth in our cash and invested assets of $63.6 billion, which were up $2.1 billion for the year. Record investment income for the quarter of $577 million was better than anticipated principally due to higher private equity distributions and higher call activity in our corporate bond portfolio. Our strong cash flow will continue to benefit our estimated quarterly investment run-rate – investment income run-rate of approximately $555 million even with current new money rates of 2.8% versus our current book yield of 3.8%. The estimated investment income run-rate is subject to variability and portfolio rates, call activity, private equity distributions and foreign exchange. During the quarter, we had after-tax realized and unrealized gains of $55 million related to the investment portfolio and a mark-to-market loss on our VA reinsurance portfolio of $153 million. Both of these were due principally to decreasing interest rates. Our net loss reserves were up $107 million for the year or 0.4%. They were up $659 million or 2.5% for the year, adjusted for foreign exchange. The paid to incurred ratio was 101% for the quarter or 87% on a normalized basis, which takes into account prior period development and crop loss payment activity. This quarter’s ratio is seasonally affected by significantly more crop payments than incurred losses, which normally occurs in the fourth quarter. Our paid to incurred ratio of 96% for the year was flat with last year. In the quarter, we had net positive prior period development of $107 million pre-tax. For our active companies, we had $237 million of positive prior period development, approximately half from long tail lines principally from 2008 and prior. The remainder was from short tail lines. In our Brandywine and other run-off operations, we strengthened reserves by $130 million pre-tax. The charge related mostly to asbestos and comprised account specific development and defense-related costs on existing accounts. Average indemnity severity for individual asbestos claims has remained stable. Cat losses were $64 million after-tax in the quarter from a number of worldwide weather events. Full year A&H net written premiums were up 4.4% on a constant dollar basis, while A&H operating income was down 0.9%. Normalizing from prior period development and positive non-recurring items last year, A&H operating income was up 4.9%. Total capital return to shareholders during the quarter was $650 million, including $430 million of share repurchases and $220 million in dividends. Our total share repurchases were $1.5 billion from the November 2013 announcement of our plan to year end 2014. I will turn the call back to Helen.
Helen Wilson: Thank you. At this point, we will be happy to take your questions.
Operator: [Operator Instructions] And we will take our first from Michael Nannizzi with Goldman Sachs.
Michael Nannizzi: Thank you. Yes. So, I guess one question in overseas, what drove the margin improvement there in the fourth quarter, it sounded like pricing was down year-over-year, but you saw the best margin improvement of the year in the fourth quarter. I was trying to get an understanding of what happened there? Thanks.
Evan Greenberg: Sure. Most of that is really due to large loss activity outside of a loss-paving fourth quarter last year versus this year, so a more benign quarter for us this year.
Michael Nannizzi: Got it, okay. And then as far as the crop business, I was trying to understand I guess there was a hedge in the third quarter, if I remember right, which provided some benefit given the decline in crop prices. And so can you comment on kind of what happened to that hedge this quarter?
Phil Bancroft: We closed out the hedge in the third quarter.
Michael Nannizzi: Okay. And was there a gain or loss associated with that closeout?
Phil Bancroft: We disclosed the gain during the third quarter both in writing and on the call.
Michael Nannizzi: Okay. So, you closed it out at that gain level?
Phil Bancroft: Yes, we did.
Michael Nannizzi: Okay, got it. Great. And then on the…
Phil Bancroft: And the current accident year crop result without the hedge was 91.1% combined ratio.
Michael Nannizzi: Current accident year at 91.1% without the hedge. Okay, great. Thank you for that. And then any impact from the volatility of the Swiss franc in January that we should be thinking about?
Evan Greenberg: No, we have very little net asset in Swiss francs.
Michael Nannizzi: Okay, great. Thank you.
Evan Greenberg: You are welcome.
Operator: We will go next to Kai Pan with Morgan Stanley.
Kai Pan: Good morning. Thank you for taking my call. First question for Evan, you mentioned about the volatility in global economies, especially in Europe as well as on the emerging markets, so given your global footprint, I just wonder what you see as challenges as well as opportunity for ACE?
Evan Greenberg: Yes. As you well know, we are pretty rigorous planners. We have a plan for 2015 and our growth in the fourth quarter and our growth in the first quarter as far as we can see in local currencies continue as we expected to be. There is always some places that get a little worst because of economic activity some places that get better. And overall we are looking pretty good. And the pattern overseas has been that Europe and the UK have been relatively flat for sometime. Asia and Latin America have been going – growing overall at double-digit. And that pattern excluding some re-underwriting in Latin America in the fourth quarter continued and we see a continuing from what we can see.
Kai Pan: It’s great. Then if the currency stay the same, what’s the impact your premium growth as well as profitability in 2015 and do you have any sort of foreign currency hedges?
Evan Greenberg: First of all, we don’t give guidance. So you won’t get that. But you saw – you yourself see what the fourth quarter impact currencies had on revenue growth. So I think you see a theme that a stronger dollar obviously impacts revenue though far more modest and its quite modest impact to earnings.
Kai Pan: And currency hedges?
Evan Greenberg: We don’t hedge on revenue. The only thing we hedge from time to time is cash movements, remittances.
Kai Pan: Great. Well, thank you so much for the answer.
Evan Greenberg: I am answering all of Phil Bancroft’s questions.
Kai Pan: Thank you.
Operator: We will take our next question from Jay Gelb with Barclays.
Jay Gelb: Thank you and good morning. Evan on the reinsurance business clearly there has been a flurry of consolidation activity over the past two months and it will be helpful to get your updated perspective on those trends?
Evan Greenberg: Yes. I think there were given – we have talked about this for a while. And I was asked this I think in the call that we had my view of given the softness in the reinsurance environment and the wholesale market particularly London and Bermuda, which to me are quite akin to the reinsurance market. The pressure that that places on smaller players and to me I imagined there would be more consolidation and we are seeing that. I think there is a drive to a bigger balance sheet that gives some more flexibility and it’s more attractive to counterparty. And that creates more efficiency in terms of expense takeout. On the other hand it is doubling down on a bet, more concentration to reinsurance and London and Bermuda wholesale. Though it is a player then who swings a bigger stick and so maybe commands more attention and respect in the marketplace and I understand that. And the balance sheet flexibility does give them a chance to write out conditions more easily. On the other side of the coin, it means fewer players competing. And maybe it means some capital comes out of the business. And that hopefully that creates some stability and hopefully bigger player will equal more rational behavior. And that’s what I end from a counterparty perspective. I like a bigger balance sheet for those that we are reinsuring to or doing business with.
Jay Gelb: That makes sense. For ACE’s owned reinsurance operation, can you talk a bit about given the, I think 5% contribution to ACE’s overall premiums, how you feel ACE’s reinsurance business fits this into the scheme of things these days?
Evan Greenberg: Yes. ACE Global Re or Tempest is a very important of our company. It’s a – it will wane and wax to some degree with market conditions as we maintain discipline, but a very good contributor to book value growth in the company. It’s a reinsurance market. It is deep and big and dynamic and over time presents opportunity. There is a very big balance sheet behind ACE Global Re. It’s the ACE balance sheet that is AA rated. There aren’t a lot of AA rated re-insurers. And there aren’t a lot with the balance sheet of our size participating in the business. And those continue to present advantages to Global Re. And then on the other side of the coin in the short-term, mergers and acquisitions of size relative to your own size can be distracting and you got to look a little more inward and that can present some tactical opportunity for Global Re and fewer players should mean maybe a little rationale competitive environment over time and that can only benefit us.
Jay Gelb: Thank you for that. And then my final question probably for Phil, on the Fireman’s Fund deal, I believe ACE assumed the legacy reserves attached to that, can you describe why that was the case and what that is made of and how big is it?
Evan Greenberg: You are saying we are assuming the existing liabilities of the business that we are acquiring.
Phil Bancroft: We are assuming the unearned premium….
Evan Greenberg: Unearned premium and the liabilities. There are still liabilities associated with the owner.
Jay Gelb: Right. I just, it was…
Evan Greenberg: If you like it on a written basis going forward, why wouldn’t you like the unearned?
Jay Gelb: I understand the unearned premium, but does it include the legacy loss reserves as well?
Phil Bancroft: In the existing portfolio, we are transferring to our books, but its personal lines to short tail.
Jay Gelb: Just personal lines.
Evan Greenberg: Yes, high net worth.
Phil Bancroft: Yes, yes, pull over.
Jay Gelb: Alright, thanks for clarifying.
Operator: We will go next to [indiscernible] with JPMorgan.
Evan Greenberg: Remember, it was a renewal rights deal really for the personal behind net worth personal lines business of the Fireman’s Fund and in addition to the renewal rights we took the unearned portfolio of that business only.
Unidentified Analyst: Hi, good morning. This is Sarah [indiscernible] from JPMorgan. On acquisitions, what’s your pipeline for opportunities looking like and what lines or geographies are you most interested in growing through acquisitions?
Evan Greenberg: Yes. We are not going to talk much about that. The pipeline – we always have a pipeline as we talk about fairly frequently. We always have a pipeline of opportunities. We pulled the trigger on a small minority of what we see. We look at things all over the world. And they are in areas where we are already endeavoring to grow organically and so acquisitions to complement our organic growth strategy.
Unidentified Analyst: Okay. And can you remind us how many points on the ROE, the drag from excess capital is and if you look out over the next 5 years, do you think you will have opportunities to fully deploy that?
Evan Greenberg: As I just said 10 minutes ago, it’s between 1.7 and 2 points on the ROE. And yes, I think as I look out over the next X number of years, we will have opportunity to deploy that.
Unidentified Analyst: Okay, thanks. And then finally on the agriculture business, can you talk about your outlook for that business headed into 2015 given where commodity prices are currently? And there seems to be more sellers in that business, are you interested in growing there through acquisitions?
Evan Greenberg: I won’t comment on acquisitions looking forward that way or speculate about that, but we are very happy with our concentration and our market share and amount of exposure we therefore have in that business. If you looked at commodity prices today, they are below where they were last year in February and it’s a February average that determines the pricing for contracts at that time. What it will be in February of this year who knows and particularly the volatility factor that’s applied to average pricing in the month and what our exact spread will be by commodity product based on the forms we write. You don’t know with certainty. But the theme would be that revenue would be down, what percentage, I don’t know.
Unidentified Analyst: Great. Thanks for the effort.
Evan Greenberg: You’re welcome.
Operator: We will go next to Vinay Misquith with Evercore ISI.
Vinay Misquith: Hi, good morning. The first question is on the core growth in overseas general segment that was about 8.4% this quarter. And I believe there was an acquisition, so what’s the core growth ex to acquisition this quarter?
Phil Bancroft: That’s Itaú about 6.5%.
Vinay Misquith: Okay. And that seems to have slowed down a bit from the past few quarters, when you already give an outlook about the future, do you see things especially I mean in Brazil slowing down now versus the last few quarters?
Phil Bancroft: No.
Evan Greenberg: During the quarter, we also had – we did some re-underwriting of some business that we didn’t like the looks at it. And that was in Latin America and that, and there was a one-time it’s behind us. So that added about 2 point roughly impact as well. And I don’t see a slowdown in our business in Brazil. And I will let John Keogh just comment a little bit about the fourth quarter pattern of growth and what we see as we go into the first quarter.
John Keogh: Sure, and I will touch on it a bit earlier Vinay, which is, when you look at our fourth quarter, and when you look at our year, our growth pattern has been pretty much story of flat Europe and double-digit growth in Latin America and Asia. And that’s I say double-digit growth that’s with the exclusion of the contributions from the acquisitions we made in Asia and Latin America. As we think about our plans for the year ahead and look at the environment, we are looking more the same. One month into the year and right now things are really going according to plan.
Vinay Misquith: Okay, that’s helpful. The second question is on foreign exchange. So, this quarter probably about 5 point in the overseas general segment, given where the interest of fair exchange rates right now, so would that be sort of nearly double in 2015?
Evan Greenberg: What we would say is from the end of the year ’14 to now we have seen a deterioration that would impact our book value by about $170 million.
Vinay Misquith: That’s on the revenues, sorry.
Phil Bancroft: He is talking revenue growth. What you saw as the FX impact in the fourth quarter, I am no genius at this, but I can imagine that same pattern year-on-year as you look at first quarter or second quarter if exchange rate stay the same we’re going to see roughly the same impact.
Vinay Misquith: Okay. Fair enough. And the last one if I may on the reinsurance…
Phil Bancroft: That’s on revenue. That’s on revenue, net income.
Vinay Misquith: Fair enough. Right and when you said that the revenues and expenses are fairly matched, correct?
Phil Bancroft: Correct.
Vinay Misquith: Okay. And…
Phil Bancroft: Assets and liabilities.
Vinay Misquith: Okay, great. And then on the reinsurance side, any update on your re-insurance purchases and the cost savings on that?
Evan Greenberg: Well, I won’t get specific by contractor, by area as you know, but you have been seeing general market commentary that both rates and terms and conditions for buyers if reinsurance have improved. And we are a major buyer in the market. We think we are pretty heads up buyers. And we have benefited from reinsurance market conditions both in terms and conditions, and in pricing. And that will flow through both to benefit our competitive profile in the marketplace and any savings will flow through to the bottom line. But I am not going to give you an exact number.
Vinay Misquith: Okay. Thank you.
Evan Greenberg: You are welcome.
Operator: We will go next to Charles Sebaski with BMO Capital Markets.
Charles Sebaski: Good morning.
Evan Greenberg: Good morning, Charles.
Charles Sebaski: I was hoping to get some thoughts Evan on plans for the personal lines business with the Fireman’s Fund acquisition, what’s this – what’s the growth potential for your guys in the U.S. in the high net worth business line?
Evan Greenberg: Yeah, Charles, it is – when you add together ACE and the fund, we are – we were both very active players in the high net worth. We become clearly one of the top three players in that business. It expands our presence within distribution significantly. It enhances our underwriting insights with more data and it brings a lot of talent, a lot of very good people to the organization. So, it takes what we have been doing organically, which we built a good business and it takes two brands, and puts them together that way. There is a lot of growth potential in the business. And let me be clear ACE is a high net worth personal lines player. We have no desire and no illusions about trying to enter the traditional personal lines business in the U.S. that’s not our play. The general market personal lines business, we bring nothing to the table for that. But the high net worth market is a different marketplace. The kinds of coverages they require is much broader than the general market. The kinds of limits they require is broader, the geographic area in which you service an individual customer is far broader. They are much more service oriented is the profit as the product proposition offering to a customer is it’s a much more service intensive, it’s less about price. They are much less price sensitive. The growth available is significant over time. And it’s not simply by one high net worth writer taking the business from another, it’s that a lot of high net worth potential clients reside on the books of traditional personal lines writers, who do a fabulous job serving their customers overall. But they don’t really serve the proposition and needs of the high net worth customer. And the opportunity for us is in that cohort of business that exists with others.
Charles Sebaski: Where do you – where is the dividing line in terms of actual net worth a policy size, for what constitutes a high net worth customer?
Evan Greenberg: Are you wondering whether you qualify.
Charles Sebaski: I don’t qualify, but I am looking for something inspire to…
Evan Greenberg: Charles, that varies by customer – by biogeography really, but it has to do with both buying behavior as well as value – total values of – to begin with your home. And well, I can give you a little more on that. I will tell you, I am going to ask one enjoyed to tell you a – a little about that and when you might be surprised maybe we well send you am app.
Phil Bancroft: I think Evan is right, it really does vary combination, for us it’s really a combination of the sum insured at the home. The lines of business that you purchased; are you also purchasing an excess liability and umbrella policy; do you have multiple homes with you; do you have fine art collections, etcetera. And ultimately, we would also look at the premium that that account really drives, but for us, really it’s a combination of all those things.
Charles Sebaski: Okay. I guess one other question on the personal lines and that should be more on the international in regard to some of the recent acquisitions in Latin America. How much opportunity is there for you guys in cross-selling life, A&H, personal lines on the international book, are those distribution points the same and do you see synergies there for that cross-sell?
Evan Greenberg: Great question, love it. So, I am going to divide it into two pieces. So, I make it really simple and clear, agency derived business versus direct response marketed business. So, where we direct response market, the cross-selling opportunity where we do so much A&H direct response marketing to cross-sell specialty personal lines, a variety of products like householder’s insurance, home contents and other simple products of personal lines. And simple life products like term life with what we are already doing in A&H direct response that opportunity is significant and we are doing that. On the agency front, where we write a lot of personal lines that might be automobile-related, the opportunity to cross-sell small group A&H to cross-sell SME, that is small business insurance through those same agents to the customers, the opportunity is significant. And so it varies by country and by distribution channel that we are pursuing, but that is a real focus of the organization has been and continues to be.
Charles Sebaski: Thank you for the answers.
Evan Greenberg: Thank you for that question.
Operator: We will take our next question from Paul Newsome with Sandler O’Neill.
Paul Newsome: Good morning and congratulations on the call. One quick question, did you contribute capital into the Brandywine operations or is that a reinsurance or accounting charge that we saw?
Phil Bancroft: It’s just an accounting charge. We have strengthened reserves by the $130 million that I mentioned, but there is no transfer of capital necessary for that.
Paul Newsome: Okay. And then my more broader question, you have got in some of these foreign areas, interest rates that are getting to zero if not negative numbers in some rare cases, what does that do to your investment strategy in places where you basically get nil returns on your investments? What do you do in that situation?
Phil Bancroft: Well, we haven’t done anything in terms of taking additional risk. Our portfolios, primarily corporate bonds and government securities in those jurisdictions and we haven’t made any plans as I say to change the structure or to take additional risk. We talk about our overall book yield continuing to drop as our portfolio rotates into those lower yields, but we have been doing a pretty good job of keeping the portfolio turn over to a minimum and keeping our book yields fairly constant.
Evan Greenberg: Let me add to that, first of all, if you are saying zero rates, you are thinking of Europe. And if you think of the rest of our portfolio and other places, interest rates have actually gone up in most jurisdictions or a lot of them. So, it bounces around between the two. Secondly, as Phil was saying in Europe and in the zero rate we are more heavily corporate than government-related securities and their high-grade corporates and rates, spreads have widened.
Paul Newsome: So, I guess the question I am trying to get to is there anything danger that you end up in situation where you can’t match the assets and liabilities of them in the local currencies to keep yourself?
Evan Greenberg: No, because we don’t discount. So, when you talk about matching that would be a duration liquidity question would hardly be that, oh, so in Europe you must be discounting have to earn a certain rate on the discount and can you earn that, we don’t discount our property casualty loss reserves.
Phil Bancroft: And in most jurisdictions, we have to keep our assets and liabilities in currency and that will require capital. So, there is really, if you are thinking we might invest euro liabilities somewhere in some other currency that wouldn’t happen.
Evan Greenberg: We would never do that.
Paul Newsome: Terrific. Thank you very much.
Operator: We will go next to Brian Meredith of UBS.
Brian Meredith: Yes, thanks. Just a couple of questions here on Itaú, one is there any seasonality on a quarterly basis to the premium as it comes in? And then the second part of that is Itaú sees away a lot of its premium, I am wondering if any of those reinsurance contracts have been restructured yet or if so would you anticipate those being restructured or at least declined in amount of sessions kind of come in the first quarter of ‘15?
Evan Greenberg: The – I am sorry, I got to tell you, it’s Itaú.
Brian Meredith: Itaú, sorry.
Evan Greenberg: But it’s Itaú. There is some seasonality to the flow of the business, not tremendous, though the net – and that would be on the gross premiums, the net premiums vary by class. And so there may have been a little more seasonality to how they retained business. You are correct, substantial premium sessions they gross line I mean awful lot. That will continue, but there is obviously opportunities – real opportunities raised to recapture business that has been ceded and retained at net and so you will see – that, that will occur over a period of time.
Brian Meredith: Okay, great. And then just a second question, I am just curious for John Keogh, terms and conditions on the primary insurance, I know reinsurance has been loosening up, are we seeing any trends in terms and conditions loosening up and it’s often a way that companies try to get more competitive is through terms and conditions?
John Keogh: I mean, certainly Brian in the reinsurance – as a buyer of reinsurance, we have seen that from our reinsurers, which has been to our benefit in terms of reinsurance buys over the past 12 months. On the primary side you have looking and talking to our line executives around our January renewal business. Nothing, there is some anecdotal here and there on terms and conditions. You are seeing in Europe some of the classic soft market behavior in D&O where you are getting excess carriers willing to drop down and be primary if the primary carrier doesn’t cover the claim. You are seeing free reinstatements on D&O, but that’s really in Europe. Otherwise, everyone has a got story here and there, but in general I think terms and conditions in the primary insurance space right now used internationally are pretty stable.
John Lupica: Yes, Brian, it’s John Lupica. I would concur for the North American environment it’s virtually identical to it, John has just described. Terms are basically holding what I would add to that on the property side, we are seeing requests for smaller CAT deductibles occasionally. We are seeing requests for bigger limits. Nothing unusual based on the market that we are going into we have seen it before.
Brian Meredith: Great. Thank you.
Operator: We will take our next question from Meyer Shields with KBW.
Meyer Shields: Thank you. Good morning. I hate to nitpick, I am just curious about the core loss ratio increase in the North American P&C segment, that’s only sort of soft spot that we saw in the quarter?
Evan Greenberg: Sure, John Lupica?
John Lupica: Yes. Thanks. So really the loss ratio Meyer was two things going on. We had a one-time benefit last year from a reserve release. And we also had another one-time adjustment that was made. When you account for those…
Evan Greenberg: Due to benefit last year also.
John Lupica: Benefit, thank you. When you account for those two, our current accident year loss ratio was essentially flat. We did have a bit of large loss activity, a bit more this year than last year, but I wouldn’t consider that significant.
Meyer Shields: Okay. That’s helpful. And Evan you started – you said that Asia is the most competitive geographic region in P&C, is there a difference in pricing trends between the established and the emerging insurance markets?
Evan Greenberg: Yes, there is. John Keogh is mouthing something at me. I mean I don’t know if he is saying, so I am going to let him talk first.
John Keogh: No, I think the thing I do there is on – is retail versus wholesale. I think if you get out into Asia and certainly in London the wholesale markets where brokers are bringing business around the region whether it’s into London or into Singapore that market is much, much more competitive in our observations than the mark you see on the ground as a retail underwriter in the local market. So I would contrast the wholesale and retail.
Evan Greenberg: The other – and maybe to take it a step further Australia, New Zealand has a different competitive complexion than Southeast Asia and North Asia and it does vary by country. The wholesale business John is referring to is typically the large commercial risk in Asia that finds its way in. The middle market, upper middle market, small commercial within each country in emerging Asia is much more stable than the balance of that.
Meyer Shields: Okay.
Evan Greenberg: And when I referred to competitive price conditions, I was referring really to the larger corporate business.
Meyer Shields: Okay, that’s very helpful. Thank you.
Operator: We will go next to Jay Cohen with Bank of America Merrill Lynch.
Jay Cohen: Yes, thank you. A couple of questions. First is maybe for Phil, can you talk about the alternative investment return in the quarter and maybe how much it was above what you would expect to be normal? And then secondly if maybe Evan or someone else could talk about the claims environment and what you are seeing from a claims inflation standpoint does not seem to be terribly onerous or a big change, but I want to get a sense of what you are seeing out there?
Phil Bancroft: I think with respect to the alternatives, they were probably about $10 million more than we expected. And then I would add to that the fund, the call activity on our bond portfolio that added another $10 million. So, in addition to that, our portfolio yield was a little bit higher than we expected. So, all of that together, I gave you last quarter a run-rate of $550 million and you can see we came in at $577 million, but that’s what comprised the difference.
Jay Cohen: Got it.
Phil Bancroft: The claims activity, Jay, it’s reasonably well behaved. It overall from inflation perspective, I see it as reasonably tame either within or below trend as we would imagine it to be. On the other side of the coin, depending on the market, there is certain competitive market behavior that drives down premium rate below what loss cost is and those are the areas that you got to pay attention to and take action. And there is of course – there is more of that today than there was a year ago and there is more of that a year ago than there was 2 years ago. I mean, that’s just natural.
Jay Cohen: Got it, thank you.
Phil Bancroft: You got to be so vigilant and on top of portfolio management, line by line, territory by territory and just don’t take your eye off of it.
Jay Cohen: Got it. Thanks.
Operator: We will go next to Mark Dwelle with RBC Capital Markets.
Mark Dwelle: Yes, good morning. Thank you. One question, you had mentioned the impact from FX was primarily dollar strengthening, which makes perfect sense, which – from a capital standpoint, which currency payers are you the most sensitive to?
Evan Greenberg: The largest impacts came from the real in Brazil, the peso, British pound, Australian dollar, the yen and the euro, they were really the top…
Phil Bancroft: And he just gave it you backwards. The biggest really is euro, so we had biggest balance sheet.
Evan Greenberg: Biggest balance sheet, but not as big an impact on the quarter, I was reading it impact order whichever way, but anyway those are the currencies that you would focus on to see where we stand.
Mark Dwelle: Okay, that was my main question. Thank you.
Operator: We will go next to Scott Frost with Bank of America Merrill Lynch.
Scott Frost: Thanks. In terms of capital management, we have seen some activity to retire or tender higher coupon debt and preferred issues. Is that a consideration for you or where does that fit in your capital management plan?
Evan Greenberg: No, we don’t have plans to do that. We find with the public debt structures that we have the prepayment penalties are so severe that it doesn’t make sense for us. What we have been doing though is pre-funding debt that is maturing. So, we pre-fund the two issues so far that will mature in later this year actually and we will consider that going forward.
Scott Frost: Okay, great. Thanks.
Operator: We will take our final question from Ian Gutterman with Balyasny Investments.
Ian Gutterman: Hi, good morning Evan. I guess, my first question is on accident year margins, with pricing continued to moderate slightly, it seems in most of your – at least in most of your commercial lines, pricing is probably below where you pick loss cost trend, is there enough opportunities still in underwriting and mix and so forth to offset that or is it reasonable to think margins are more likely to receive then stay stable or expand from here?
Evan Greenberg: Yes. Ian, the loss environment has been pretty benign.
Ian Gutterman: Right.
Evan Greenberg: Start with that. Number two, trend continues. So, when I think of the benign loss environment, I think of more short tail lines, but when I think of the casualty business, trend continues whether it’s running better than you imagine, it doesn’t mean its zero, there is – remains a healthy trend. So – and on the other side of the coin, there is always portfolio management opportunities and changing mix of lines of business that we accelerate, where we see good margins. So, you get all of that. But when I roll it altogether, I have said it before, you expect – it’s natural to expect, look at the combined ratios that we are running. They are such world class. They are low. So, I imagine the accident year margin, the accident year combined ratios to rise over time.
Ian Gutterman: Good. Got it. And is it fair to say that the lower loss trend we have seen that’s emerging as reserve releases as opposed to that you are lowering your pick or have you been changing your loss trend pick as a result of the evidence you have seen over the last two years?
Evan Greenberg: No, we really haven’t changed our loss trend pick. I realized you could do that, but I think it’s a prudent way to run a company. We write a lot of a longer tail business and even your medium, shorter tail businesses 3 to 7 years. Good news always comes early, bad news comes late, number one. Number two, people like to describe the business of underwriting with some kind of precision like it is – like you have such perfect information that you can price and you can select risk with precision and that’s just not the case. And I think the guys who do better are the ones who recognize that. And so your best to remain with a more conservative, what somebody might deem a more conservative trend factor. I think it just safeguards the balance sheet. And what’s the price of that? A little opportunity cost of some business in the marketplace, I am not going to worry about that.
Ian Gutterman: Got it. I just want to make sure nothing changed. And then just my final question is on the energy, I guess, there could be a number of things on energy, but maybe I just focus on one, which is the investment side. It looks like you have about $2 billion in energy investments and maybe 800 is BBB and 900 is below investment grade. Can you just give a little color on what we should know about that, I guess when you hear all these stories about high-yield energy bonds that people concerned about? How much of a worry is that for you?
Phil Bancroft: So, our investment portfolio is bonds, that’s where the – that’s where our exposure is. And it’s about 5% of the portfolio, it’s 3% and you see the two pieces that you are looking at, we have a third piece in the non-dollar portfolio that just isn’t split by sector. So, it’s about $3 billion in total. The average credit rating is BBB. It’s well-diversified, there is 250 issuers, and the top holdings are in the largest integrated companies that are all investment grade. So, we have studied it. We are very comfortable with the concentration and the entire portfolio is trading over par right now. So, we are comfortable with the valuation.
Ian Gutterman: Got it, got it. So, no big overweight on Canadian oilsands or anything like that?
Phil Bancroft: No.
Ian Gutterman: Okay, good, just making sure. Alright, thank you guys. Good luck.
Helen Wilson: Alright. Thank you everyone for your time and attention this morning. We look forward to speaking with you again at the end of next quarter. Thank you and good day.
Operator: This concludes today’s conference. Thank you for your participation.